Analysts : John Neff - William Blair Jonathan Maietta - Needham and Company James Wilson - JP Morgan Securities Christopher Mammone - Deutsche Bank  Vance Edelson - Morgan Stanley
Operator: Ladies and gentlemen, thank you for standing by and welcome to the CoStar Group's Fourth Quarter and Year End 2008 Conference Call. Today we have CoStar Group's Chief Executive Officer, Andrew Florance; Chief Financial Officer Brian Radecki; and Communication Director, Tim Trainor. At this time all lines have been placed in to a listen-only mode. Later we will conduct a question-and-answer. (Operator Instructions) And as a reminder, this conference is being recorded. I would like to turn the conference over to Mr. Trainor. Please go ahead.
Tim Trainor: Thank you, operator and good morning everyone. Welcome to CoStar Group's fourth quarter and year end 2008 conference call. Before I turn the call over to CoStar's Chief Executive, Andrew Florance, let me state for the record that certain portions of this discussion contain forward-looking statements which involve many risks and uncertainties that can cause actual results to differ materially from such statements. Important factors that can cause actual results to differ included, but are not limited to those stated in CoStar's fourth quarter and year end 2008 press release which we issued yesterday and in CoStar's filings with the SEC, including CoStar's Form 10-K for the period ended December 31, 2007 and CoStar's Form 10-Q for the quarter ended September 30, 2008 under the heading Risk Factors. All forward-looking statements are based on information available to CoStar on the date of this call and CoStar assumes no obligation to update these statements. You can find a webcast of this conference on our website at www.costar.com/investors. Thank you for joining us. I would turn the call over to Mr. Florance. Andy.
Andy Florance: Thank you, Tim. Welcome everyone to CoStar Group's fourth quarter and year end 2008 conference call. I am pleased today to report our results for 2008 a year in which CoStar continued to benefit from our core three attributes as a company. The strength of our subscription-based business model, our industry-leading research and the value of our products that our products provide to our subscribers. All of which helped us to strengthen an already strong financial position and achieve the earnings goal we set out two years ago. Net income for the year increased 145% to $24.6 million or $1.26 per diluted share compared to $10.1 million or $0.52 per diluted share for 2007. And EBITDA for the full year in 2008 was $56.6 million, a 115% increase compared to EBITDA of $26.4 million in 2007. These results exclude the favorable one-time gain associated with the lease assignment on our former London office in 2007 to more clearly show the organic earnings growth we generated in our business. Being able to again report triple digit year-over-year quarterly net income growth in the middle of a very challenging economy is something all of us here at CoStar Group are very proud of. The fact that we are successful in executing the plan we laid out to investors to achieve the earnings goals we set clearly demonstrates the absolute strength and resilience of CoStar's business model. The strong profits we generated follow the substantial investments we made to significantly expand our commercial real estate coverage in the US and the UK in 2006. In 2007, we completed the work of adding hundreds of thousands of new properties to our database, and announced plans to focus on earnings leverage following those substantial investments. In 2008, we delivered on the aggressive earnings growth we promised and succeeded in raising our then company wide 9% EBITDA earnings margin to a 30% EBITDA margin in our US operations by the end of 2008. Having met and exceeded that target, an entire quarter ahead of plan, we committed last quarter to achieving a company wide EBITDA margin of 30% by the end of 2008. Once again, we achieved that very significant company wide margin by continuing to expand our margins in the US and successfully bringing our international operations into the block. Our focus on growing earnings over the past year has had the additional benefit of significantly strengthening CoStar's balance sheet, which remains one of the company's greatest assets. We increased our cash balance by more than $37 million in 2008 for a total of $225 million in cash, cash equivalents and investments on hand at the end of last year. The majority of these assets are invested in cash, as well as in US Treasury and other US Government money market funds. As a result of our success in growing earnings, managing costs, and continuing to provide real value to our clients, I am pleased to report that the company is in a very favorable position well into this current downturn. We are solidly profitable, have no debt, and have very large cash reserves. Brian, will provide more detail on our full year and fourth quarter 2008 financial results and our outlook for the first quarter of this year later in the call. Before he does I want to update you on several other important aspects of our business. Having demonstrated consistent success in achieving the earnings goals we set, I want to reiterate that we remain focused on despite the current state of the economy the goal we set of reaching $100 million in annualized EBITDA run rate company wide by the end of 2010 or as soon as reasonably practical. Despite the current conditions we are facing, if positive GDP growth returns before 2010, I believe it is still possible to capture that growth and continue the successful track record of achieving earnings goals we have accomplished as a company. There is no question that the rest of 2009 will be extremely challenging. Like most companies, we have taken a number of steps to further stabilize our cost structure, minimize new spending and preserve value to help offset the negative impact on sales and revenue. These steps include temporarily freezing employee salaries company wide at their current levels and reducing the company match on employee contributions to the 401(k) plan in the US with a corresponding reduction in matching pension contributions in our international operations. We believe we have taken and we will continue to take all necessary measures to address any decline in revenue or renewal rates we may see in the difficult year ahead. We will continue to monitor our position carefully and respond should a recovery fail to appear as expected next year. However, I believe the last thing we want to do in our position is to harm our business by reducing the quality or scope of our research product. Those of you who have followed our company for any length of time know that we invest for the long term and have managed our business conservatively over the past two years. As I have consistently stated over the years, researched and verified information is what sets CoStar apart. It's the basis of everything we do and our ability to deliver trusted and accurate information through up and down economic cycles has won us the business of virtually all the leading commercial real estate firms and thousands of smaller ones throughout the US and UK. In this environment, our clients are depending on us now more than ever to provide the highest quality information at the lowest possible cost, and that's exactly what we intend to do. That is why I want to make very clear that the recent cost reduction steps we are taking do not involve the curtailment of our research operations. In fact because of continued unprecedented growth in the company's databases it will be necessary to grow the research team in 2009 in order to continue meeting customer expectations and maintain our clear competitive advantage. This modest increase and additional research headcount that we are considering does not fall into the category of discretionary spending. Considering that the record growth and expansion we experienced over the past two years resulted in unprecedented aggregation of content in CoStar's database. Our research team identified, confirmed and added literally hundreds of thousands of buildings and listings, resulting in amazing amount of growth and content that we managed. This record growth, which we believe will eventually translate to revenue growth, has not been accompanied by a corresponding increase in the size of our research staff. Despite achieving 100% plus increase in productivity gains on the part of our research team in covering the greatly expanded scope of our coverage, its clear that we need to realistically address the research resources we devote to ensuring that CoStar continues to provide the quality of information that has set us apart from competitors and been the key to our successful growth over the past 20 plus years. Certainly, keeping an eye on costs and minimizing spending are the watchwords of this recession, but even more important, I believe, is keeping the focus on our customers and ensuring that CoStar continues to provide the type and quality of information they expect. Currently, there are a dozen or so vendors out there providing marketing or information solutions to commercial real estate. Due to the extreme economic conditions, I believe that about half of those service providers will fail in the course of the next two years. Indeed, I believe the need to focus on the quality of our product may be more critical in this economy than during anytime of expansion. If you look at any successful mid-sized brokerage office, they are likely using two or three data providers. Now that their revenues have dropped many of these firms are facing the difficult choice of having to cut back to just one service. We are committed to making sure that CoStar remains the indispensable solution for our customers by providing an overwhelming quality advantage. We believe the commercial real estate information and marketing solutions we provide remain $1 billion business opportunity. It was before this recession and it will be after this recession. I believe it is both prudent and strategically advantageous to strengthen our position and further distance ourselves from weakened competitors. As we have experienced in previous downturns, the information available through CoStar plays a crucial role in helping our customers answer the fundamental questions when determining the value of their buildings and portfolios and in making their properties for lease and sale marketed more efficiently. Information is integral to facilitate real estate transactions and therefore integral to the real estate service providers' day-to-day business. Outsourcing, the labor-intensive and time consuming task of conducting basic real estate research to CoStar provides enormous benefit to our customers by providing them with higher quality information at a lower cost. Especially, when compared with the prospect of bringing research back in-house. Hiring additional staff and redirecting resources needed together confirm and maintain information on a continuous basis. Because our products help our customers improve productivity, cut cost and drive new revenues, we believe there will be continued strong demand for our services in a down market as long as we continue to provide the level and quality of information that set CoStar apart and won us the business of essentially every major firm in commercial real estate. Last night's announcement of a new multiyear tens of million dollars subscription contract renewal and expansion of Cushman & Wakefield, the largest privately held commercial real estate services firm in the world is proof of the utility nature of our product in any economic environment. You can be certain that Cushman & Wakefield did their due diligence on CoStar. If they did not believe in the value added to their firm is the direct results equipping research, evaluation and brokerage professionals with our information service and in a significant productivity gains that our service offers, they certainly would not have perceived with a sizable contract in this market. Under this new long-term agreement, Cushman & Wakefield will subscribe to additional CoStar services and have access to all CoStar US markets licensed by Cushman & Wakefield and the alliance firms. With initial term of four years followed by two three-year renewal option periods, the agreement carries a total potential term of ten years or until 2019. Along with a standard two-year non-compete clause that we include in such major contracts, the potential extent of the agreement is to 2021. Fees CoStar stands to earn under the expanded agreement or about one-third higher than the monthly rate under the previous 2004 agreement at its start. And includes fixed increases in years two, three and four, as well as trailing 12 month CPI escalations in each year of the renewal periods. Separately Cushman & Wakefield recently renewed their UK service agreement with us as well. CoStar welcomes the opportunity to continue to providing information services to Cushman & Wakefield and look forward to working closely with them for the next decade as their business grows under this expanded agreement. We have mentioned the current negative economic conditions in the commercial real estate market. What is a bit shocking, however, is the clear magnitude of the changes we are seeing. Consider employment, perhaps the most important driver absorption and demand for commercial real estate. After posting modest job losses in the most of 2008, job losses turned extremely negative. The US lost about 140,000 jobs a month through August of last year and in January 2009, we lost 598,000 jobs, the largest monthly decline since December 1974. And that comes on the heels of nearly equally large number of job losses in November and December. In total, the US lost 3 million jobs in 2008 and if current forecasts hold, we are looking at significant job losses this year as well, far exceeding what we saw in the dot com bust. Those of you who were tracking commercial real estate back then recalled that we saw approximately 46 million square feet of negative absorption in the US at the worst point during that cycle. It is likely; we will see dramatic negative absorption in US commercial real estate markets, probably 1 billion square feet over the next two years. Looking at just the office markets, essentially when a market looses job it losses 200 square feet of demand for office space. On a national level, the level of negative absorption, I would expect from this amount of job losses translates to at least an increase in the average office vacancy rate from 12% to about 15% overall by the end of 2009, 2010. Meanwhile, most lenders remained completely withdrawn from real estate and CMBS market [Technical Difficulty] secondary market for commercial mortgages and a source for replenishing lenders making loans for commercial property. CMBS spreads as recently as December 2008 were approximately 1400 basis points above LIBOR. A dramatic margin for those seeking financing for commercial real estate. As a result of all the above conditions, debt for commercial real estate remains extremely difficult to maintain. We are still in a frozen credit environment that is quite negative for commercial real estate. This situation is critical because if it continues and lenders remain on the sidelines, and large number of commercial real estate loans set to mature over the next 12 to 24 months will face extremely limited or no credit options to refinance which could result in a wave of defaults. [Technical Difficulty] financing in frozen debt markets, property sales have borne the brunt to the impact [Technical Difficulty] commercial real estate industry much more so than leasing market which tends to remain fairly steady through down markets. This sharp drop in sales activity has had a direct and extremely negative impact on the commissions brokerage firms earn. You may have seen yesterday's article in The Wall Street Journal on CB Richard Ellis. CBRE is one the best brokerage firms in the world capable of significantly outperforming lesser firms in a down market. CBRE's commission revenues dropped nearly $0.5 billion or 44% in 2008 over 2007, with more of that drop occurring in the later half of 2008. CBRE's commissions associated with the sale of commercial property dropped 65% year-over-year and commissions associated with leasing dropped 28%. For CoStar to grow revenue, 10% in this environment has been a significant testament to the strength of our business model. This is the worst drop I believe in marketing conditions I have seen in my two decades in the business. As you are likely aware CoStar's revenues are more driven by leasing marketplace which you can see is less negatively impacted. Vendors rely more heavily on commissions from sales activity are in a very tenuous position right now because the market is much more negatively impacted and will very likely not recover for at least four years. We have seen a disproportionate share of our increased cancel rate coming from the sales segment and lending segment of the market. Another primary trend we are seeing is a sharp drop-off in construction activity across all property types. New construction starts have all but ceased. It's likely that the most projects already under construction will top out and complete and the only activity going forward [Technical Difficulty], reflecting a balance of supply and demand going into the current downturn. As a result, we should see vacancy rates fall and rents and property values recover fairly quickly once employment and positive absorption returns. Again as I mentioned keep in mind that leasing activity tends to remain fairly resilient in any kind of market, much more so than property sales. [Technical Difficulty] Quite often, in fact, building owners offer incentives to brokers who bring them tenants or lease space in difficult markets. That certainly reflects in search activity inside of CoStar property professional which can be an indicator of future lease activity. Search activity in our information service has been fairly stable, indicating brokers are still out there searching for space for their clients. General consumer search activity on the Internet for commercial real estate also remained high. We are seeing about 1 million searches a month being conducted on costar.com using our CoStar Showcase service. It is important to keep in mind when analyzing national averages, while they provide a good indicator of general overall trends, wide variations in market conditions exist between individual markets. Some may be down dramatically, some may be fairly flat, and still others may be up dramatically. It is important when analyzing a specific market or asset to drill down to the market or even sub market level. Not all markets go into a cycle at the same time, come out of a cycle at the same time, or react the same in each cycle. CoStar products enable subscribers to analyze rents by market, submarket, even property class or for a specific set of selected buildings, enabling users to examine each market on its own, taking into account the economic drivers of the major impact of local market and submarket conditions. I expect we will continue to see dramatic changes in market conditions over the next few quarters as the full extent of the impact from the financial crisis becomes clearer. However, it is clear now that the business environment is fundamentally change and companies of all sizes and every industry will be grappling to the extent and severity of the crisis for some time. Although intrinsic value we believe our information provides continues to be reflected in high overall customer renewal rates, the adverse economic conditions have had a negative impact on our customer base is reflected in that sales this past quarter, continuing a trend of slower quarterly revenue that we saw starting in the third quarter. Also again last quarter the evaluation of the relative value the Pound and Euro to the dollar has continued to reduce the value of our dollar reporting from international sales. It's clear the recession's impact is being felt across a wider spectrum of clients for their predominance of cancellations are still focused among firms of significant exposure that plunged in number of property sales. Fortunately, CoStar's customer base is extremely diverse. Our largest client accounts for less than 4% of our total revenues. At the end of 2008, the company had 105 US subscription sales reps, eight US advertising sales reps, 10 in-house sales reps and 21 UK field sales reps for a total of 144 sales representatives. We intend to continue to grow this number just slightly in the first and second quarter of this year. Net US subscription contract bookings were $9.2 million for the full year. The average new contract value decreased 13% quarter-over-quarter from $6,642 to $5,805. The impact from adverse marketing conditions was also apparent in total subscriber account which only increased slightly year-over-year. The total number of paying subscribers in the fourth quarter 2008 was 89,712 compared to 88,751 for the fourth quarter 2007, a 1% year-over-year increase. The company executed agreements with 514 new subscribing firms during the fourth quarter 2008. Our 12-month trailing customer renewal rate for CoStar's subscription-based services was 89%. Renewal rates for customers who have subscribed to CoStar for more than three years remained in the mid 90s which is impressive given that we believe many of these firms saw 50% drops in their commission revenue. Firms who have been CoStar clients for more than three years appear to have renewal rate in excess of 95% where clients who have been there for less than three years have a renewal rate of approximately 70%. While this phenomenon is common in information services, we have moved quickly address this issue and provide our newest client with the training and guidance needed to gain a thorough understanding of our products and derive appropriate value from them. Among other things, we modified and added incentives to our sales commission program to make a significant portion of the account executives incentive payable not on contract signing but upon successfully getting most of the users at a new customer site using our service on a regular basis. We are also taking a number of additional steps that we believe should increase product usage with our new client sector, which we believe will result in increase in their subscription renewal rate and eventually our overall renewal rate, as well as an additional cross sale, up sale opportunities. Unfortunately, another result of a down market is that we are seeing an increase in attempts by a number of unscrupulous firms trying to obtain access of CoStar's services illegally rather than paying for them. We continue to make substantial progress this past quarter in our ongoing efforts to protect our intellectual property and paying subscribers from those who seek to obtain fraudulent gain access to our information or who otherwise use our information our images illegally. As previously reported, we have an established internal anti-piracy group that uses extensive fraud detection technology to continually monitor CoStar's online information products to detect and prevent unauthorized access. In 2008 and year-to-date 2009, CoStar's anti-piracy team has brought in nearly $1 million in out-of-court settlements with firms engaged in password sharing and assigned new agreements proper licensing previously unauthorized users with an aggregate value of approximately $900,000 in annualized revenue. As a matter of policy, CoStar intends to continue to prosecute individuals and firms that engage in this unlawful activity. To the extent that such theft constitutes a crime, CoStar intends to work with appropriate law enforcement to bring the perpetrators to justice. I would also like to briefly update you on the status of CoStar's false advertising lawsuit against LoopNet which was filed February 2008 in Federal Court in New York City. As you will recall, our complaint alleges that among other false advertising claims, LoopNet is grossly overstating the size of its online audience by continuing to advertise that it has more than 3 million registered users who are supposedly immediately exposed to paid listings on LoopNet's website. Now the contradicting truth about LoopNet's registered members has come out in open court. Under court order, LoopNet disclosed that 2.1 million of its claimed 3 million plus registered users never logged on to the LoopNet web site over the one year period ending mid January 2009. Even more damming, 94% of its claimed number of registered members did not log on over a 30 day period from mid December 2008 to mid January 2009. LoopNet's audience claims that are predicated on registered members who apparently do not log on to their website stands in sharp contrast the practice of site such as Facebook who only claim as an audience the number of members that log in at a 30 day period. Obviously we feel vindicated by LoopNet revelation of the truth actual size of their online audience. Unfortunately, it has not have the intended effect of making LoopNet stop making fraud claims about the size of their audience. Since it has claimed to have is a 3 million active users was discredited in Federal Court, LoopNet in the marketplace is claiming to have multiple times more traffic than the next largest web site in the industry. However, to produce these comparative audience metrics, LoopNet is relying on a consumer-focused panel comp score and Internet audience estimating method that tends to favor non-business websites to the consumer focused composition of their panels. As a result of this consumer skewed composition, panels such as ComScore may under guestimate web site that cater to a business audience such as CoStar.com. Even that our marketing efforts are geared towards driving a qualified business audience to our subscriber listings, we feel strongly if these competitive ComScore numbers are mostly irrelevant for a site like CoStar.com and unique services like Showcase. The clearest concrete example of how dubious these new claims are is the ComScore traffic is only an estimate while LoopNet's log on activity is a fact. LoopNet's log on activity is only 25% of LoopNet's claimed ComScore traffic. So despite the bragadacio or the pinocchio without the benefit of this cricket, the reality of their business is in fact diminutive. We believe that our competing service CoStar Showcase with as many advantages to brokers and Internet users can win in any fair competition, (inaudible) by flaw misleading audience claims. And we plan to continue our efforts ensure that commercial estate professionals have all the information they need to make informed decisions about which service will best service their needs. We launched Showcase just last May and already we are fast approaching the $3 million mark in annualized sales. Showcase is also now a profitable product, because it does not required the same research investment as our information based products. Not only is Showcase an earnings positive business for CoStar, but more importantly, it has proven to be a major hit with our clients. We are receiving more and more testimonials from customers telling us of a tour they just gave, or a deal they closed as a result of prospect finding them on Showcase. Showcase is proving to be an extremely valuable tool for commercial brokers who are looking to maintain their flow of tenant and buyer leads in a time when traditional channels are drying up. Total search volume on Showcase was up 50% during the fourth quarter, increasing from 1.9 million searches in the third quarter to 2.9 million in the fourth quarter. And property views increased as well during the same period from 58 million property views to 61 million. Additionally, we have seen consistent quarter-over-quarter increases in the number of unique visitors to CoStar.com following the product launch. Another key indicator that Showcase is becoming increasingly popular among people searching the Internet for commercial property. We believe this will directly translate into stronger results for Showcase subscribers by generating more property views and leads. We have been able to achieve growth in our unique visitor traffic, property views and leads generated while maintaining a fairly consistent marketing investment. Using intensive and ongoing search engine optimization efforts, which involve various methods we use to capture more free traffic from major search engines like Google and Yahoo! The percentage of traffic generated from free organic search results was over 100% higher represent generate when we first launched the product in the second quarter of 2008. While we plan to continue to invest in paid search marketing efforts on behalf of our clients, a key benefit that we believe really helps set us apart competitors in this space, we believe that the addition of these free links on the organic results generated by the search engines only bolsters Showcase's position as a pre eminent place to advertise listings online. We believe the extraordinary demonstration of acceptance and use of Showcase in such a short period of time is a testament to its overall success and provides the most effective platform available to commercial real estate professionals for generating leads from a tens of thousands of business professionals who search the Internet each day for available commercial real estate. In addition to the obvious appeal, researchers of the continuously updated listing information afforded by CoStar's extensive research operations, Showcase does not require searchers to register, join memberships to search for available lease or for sale property list on Showcase. And unlike many other sites, Showcase does not pepper searchers with endless pop-ups and registration requirements. We believe both property marketers and searchers favor the unrestricted and frictionless search format available on Showcase. And in the end could result in more leads for our clients. Finally a big advantage for Showcase subscribers is that the service does not require additional upkeep and maintenance on their part. Their CoStar research analyst simply contacts them for the regular update as usual and the verified listing information is automatically displayed throughout CoStar's products, including Showcase, eliminating the need for any additional data entry on the broker's part. Ultimately this rapidly growing service expands our company's focus more directly than ever into the marketing side of the commercial real estate business. For more than 20 years, our clients have thought of CoStar as being their research partner. Now with Showcase, we've taken a major step to positioning CoStar as their marketing partner as well, and the timing couldn’t be better. We believe that Showcase is a product that is countercyclical and it helps brokers' leads inexpensively and ultimately helps them to generate quality leads at a lower cost than other marketing alternatives. Proof of this countercyclicity is that we had our best month ever in advertising revenue in January. Jim Blackman and his advertising team that sells preferred position within our subscription products sold nearly 0.5 million in advertising revenue in January. We believe this is exactly the lead generation remedy brokers are looking for in a down market. Our research operations have continued to perform exceedingly well. Our research team provides the core data as a source of our value and identity as a company. They continue to do an outstanding job in researching all the markets we cover and demonstrate their value by adding listings and confirming their accuracy in extremely efficient and timely manner. All told, these assets ensure that CoStar offers what we believe to be the most comprehensive and accurate data of commercial property in the US and UK. 3.2 million properties, now 9 billion square feet of space available, over 1.2 million listings, over 1 trillion in listing value in our system currently for our clients, 7.4 million images, and information on 5.7 tenants. Finally I want to expand on my earlier comment that we believe the research team will grow slightly this year in order to continue to meet customers' expectation. Research productivity has increased more than 100% over the last year or so, but at some level of listing growth, headcount must increase somewhat. As we stated in the press release issued yesterday, our strategy going forward is to remain focused on building and growing innovative research, information market research for Commercial as a clients throughout the US and UK. Despite the near-term challenges, we see opportunity in the current environment to capitalize on our existing research assets to introduce new products and services and expand our business in key areas, while position a company for accelerated growth when this recession ends. One of the areas we intend to focus on is the expansion of CoStar's analytic capabilities. That has been a strategic goal for us for the past few years. Following the withdraw of our offer to acquire Reese, a New York based commercial information provider, we stated our intention to focus on further developing our own analytics service rather than pursuing acquisition of Reese. Thousands of our clients recently participated in the recent series of webinars we conducted on the changing market conditions and the clients' positive response underscores the demand for CoStar to expand our role as a data provider and provide clients with additional market analysis and insight. 90% of the webinar participants said they would be interested in attending future events. In addition benefiting from CoStar's superior research and market coverage, we believe our subscribers would dive addition of the more enhanced analytic module within CoStar property professional. We intend to pursue that option in the near future, and we believe it will be very well received. Before finally turning the call over to Brian Radecki, CoStar's Chief Financial Officer for a more in-depth discussion of financial performance and outlook, let me reiterate that we are very focused on managing our business, minimizing new spending, and preserving value to continue to operate profitably in this economic environment. We believe that the fact that we grew 10% and posted record earnings to what is certainly the worst recession in two generations reflects the strong fundamentals for our business. Our products provide great value to our customers. Our financial position is solid and based on long-term investments that we expect will continue to generate additional revenue opportunities. I am confident that we will manage our expenses, continue to have the resources we need to operate our business and invest in areas that offer the greatest possibility for delivering long-term value to our customers and shareholders and opportunity to our employees and additional growth opportunities for CoStar Group. Thank you, Brian?
Brian Radecki: Thank you and you can take a breath. As Andy mentioned earlier during Q4, CoStar posted another strong quarter of earnings growth in cash generation. In yesterday's press release, we provided adjusted results for 2007 in that of the Q4, 2007 one-time lease settlement gain. We believe these adjusted 2007 results provide a better basis of comparing full year and fourth quarter 2008 results. Our net income for the fourth quarter 2008 increased 96.5% to $7.5 million, or $0.38 per diluted share from $3.8 million, or $.20 per diluted share in the fourth quarter 2007, excluding the fourth quarter 2007's one-time lease settlement gain. EBITDA, which is our earnings before interest, taxes and depreciation and amortization for the fourth quarter 2008 was $16.7 million, an increase of 82.3%, compared to EBITDA of 9.2 for the fourth quarter 2007, again excluding the one-time lease element gain. Reconciliation of EBITDA and all non-GAAP financial measures discussed on this call to GAAP basis results shown in detail in our press release issued yesterday. The press release is available on our web site at www.costar.com. Revenues in the fourth quarter of 2008 increased sequentially approximately $125,000 compared to the third quarter 2008 excluding the unfavorable impact of foreign exchange rate fluctuations on International revenues. In the fourth-quarter 2008 alone, the unfavorable impact from quarter-over-quarter changes in exchange rates totaled approximately $1 million on a functional currency basis, US revenue in the fourth quarter of 2008 totaled $48.2 million compared to $48 million in the third quarter of 2008, and International revenues 3 million pounds in the fourth quarter of 2008, consistent with the third quarter of 2008. International operations contributed 9% of total revenues in the fourth quarter and international subscription revenues accounted for approximately 89.2% of this revenue in Q4 of 2008. In Q4 of 2008, non-subscription based revenue, which is ad hoc revenue that is mostly related to services that facilitate the buying and selling of commercial buildings continue to be extremely weak. We do not expect this type of non-subscription-based revenue to improve for many, many quarters given the current market conditions, but as most of you probably know, this type of non-subscription based revenue accounts for less than 5% of CoStar's total revenues unlike other competitors in our space. CoStar's subscription revenues actually accounted for 95.7% of our total revenues in the fourth quarter of 2008. Turning to our renewal rate, which is a measure of renewing subscription revenue, our 12-month trailing renewal rate remains strong at 89%. We consider the 12-month trailing customer renewal rate to be a good indicator of the strength of our business model as subscription revenues account for the most of our revenue, and the majority of our subscribers on annual agreements. All in all, we believe this type of renewal rate is still very healthy based on where we are today with regard to the economy. And clearly is heads and tails above most of the other public companies that I am aware of. As I have publicly stated for the past year or so, we do expect the 12-month trailing renewal rate to continue to decline in this type of environment that we are currently in to the mid-80s this year. As Andy stated earlier after announcing the Q2 goal of 2007 of 30% EBITDA margin in the US and breakeven in the UK before the end of the year, we have once again delivered on that goal. Our international operations finished the fourth quarter above breakeven, and our US operations powered on tallying 34.5% EBITDA margin. In addition, the fourth quarter we actually surpassed the 30% EBITDA margin for consolidated US and International operations, a longstanding goal for the company most of you are aware of. Our consolidated EBITDA margin in Q4 was 31.6%. Now we are focused on the 2009 plan and outlook, and also remain focused on the longer-term goal of working towards achieving the goal we set out in the second quarter of 2008 much like the goal we set out in the second quarter of 2007 to $100 million in annualized EBITDA run rate by the end of 2010. We believe this goal is achievable based on our strong subscription-based business model even as we face a very difficult economic and commercial real estate environment in 2009, assuming conditions begin to recover by this time next year. Once we start seeing positive GDP growth again, we expect to return to the more normalized revenue growth rates we have enjoyed over the past decade, which we expect should result in margin expansion up to the $100 million in EBITDA goal as a majority of the revenue drops from the top line to the bottom line. We continue to expect to add new subscribers, renew current subscribers and generate strong earnings through this challenging economic environment. Now let's discuss gross margin, which decreased by approximately $900,000 from $31.6 million in Q3 to $35.2 million in Q4 2008 mainly due to the decrease in revenues of approximately $800,000 coupled with a slight increase in cost of revenues of $100,000. Gross margins was 66.5% in Q4 of 2008. Moving to expenses for the quarter, overall operating was $22.4 million in Q4 2008, a decrease of $2.5 million from $24.9 million in Q3 of 2008. This decrease resulted from lower sales commissions as our net new revenue was moderate in Q4. Some other reductions in marketing and travel and legal costs in the fourth quarter also contributed to the decrease in operating expenses. Legal expenses for the fourth quarter were approximately $800,000. We consider these legal costs like most other public companies to be normal recurring costs, which we anticipate will continue for the foreseeable future. As you are aware, we are currently involved in several lawsuits and could be involved in others to protecting our intellectual property rights. As always, we follow US GAAP basis accounting and report all of our legal expenses in our income statement, EBITDA, and in our earnings outlook for the year. With respect to our balance sheet, we ended the fourth quarter of 2008 with approximately $224.6 million in cash, cash equivalents and investments, an increase of $37.2 million since December 31, 2007 and have no long-term debt. In the fourth quarter 2008 alone, we added over $11 million in cash and investments. On a full-year basis, 2008, net income increased 144.9% to $24.6 million, or $1.26 per diluted share, compared to $10 million or $0.52 per diluted share for 2007 excluding 2007's one-time lease gain. EBITDA 2008 increased 114.5% compared to EBITDA of 2007 of 26.4% net of the one-time lease gain. Total revenues as Andy said, were $212.4 million, an increase of 10.2% over revenues of $192.8 million in 2007. Now I will conclude my remarks with the outlook of the first quarter and full year 2009 in detail. As always our guidance takes into account recent growth rates, and our results may be impacted by the uncertainties around foreign exchange fluctuations as well as changes in the global economy. We have attempted to reflect global weak in the economy in our guidance, but recognize that we are in a period of significant flux and cannot predict the direction of various market factors. However, we remain confident in our earnings guidance as we believe that one of the key strengths of our subscription-based business model is that it provides good earnings visibility even in a very difficult environment. As explained in our press release, we are providing revenue guidance separately for our US and international operations given the uncertainties around the exchange rate fluctuations. In the US, we expect first quarter 2009 revenue in the range of $47 million to $48 million and international revenue in the range of $2.7 million to $2.9 million in British pounds. For the full year 2009, we expect US revenue in the range of $185 million to $190 million, and international revenues in the range of $11.5 million to $12 million British pounds. Given the unprecedented economic environment, our actual first quarter and full-year 2009 revenue results could differ slightly from our guidance. In more detail, let me talk about the rest of the P&L. We expect cost of revenues, which was approximately $17.7 million in Q4 to rise slightly throughout the year to approximately $18.8 million by the end of 2009, which relates to the variable timing differences for new hires in research in other research-related costs. If you go back to the last two conference calls, I will remind everybody that half of the decrease in cost of revenues, $1.4 million that I pointed out in Q2 and 700,000 in Q3, I stated was only temporary. As Andy stated earlier, we expect to focus our efforts continually on striving to increase the quality of research. And therefore, we will expect to continue and hire and staff the research group to provide the highest quality information to meet the needs of our clients during this difficult environment. There is no new investment here, just more focus on keeping the staffing levels where they should be. Selling and marketing should remain flat or slightly down in 2009, compared to 2008. Software development should remain fairly consistent and flat in 2009 compared to 2008. G&A is expected to increase slightly. $1 million to $1.5 million annually, year-over-year mainly due to increase bad debt in 2009 compared to 2008 due to the current economic environment, which we are seeing an increase in the number of businesses failing or filing for bankruptcy. We also expect the interest rate for our interest income to be approximately 0.5% to 0.8% in 2009. Please note the majority of our approximately $225 million in cash, cash equivalents and investments currently in cash or assets invested in US treasuries or other U.S. Government money market funds. Therefore we expect $3 million today $4 million less in interest income in 2009, compared to 2008. Just this morning I saw an e-mail saying that currently the fed funds rate is at 0.15, with the fed funds target a range of 0 to 0.25 as I am sure most of you are aware. As we continue to invest internationally, the mechanics of our effective tax rate calculation continues to be affected by the amount of income or loss in the UK. The tax expense or benefit from the UK operations is not equivalent to the tax rates of our US operations, which can have an impact on our overall blended effective rate. Overall, we expect our effective rate to be approximately 45% for 2009. In terms of earnings, we expect the first quarter 2009 fully diluted net income per share of approximately $0.28 to $0.30. For the full year 2009, we expect fully diluted net income per share of approximately $1 to $1.05, which includes approximately $5.5 million in pretax, non-cash equity compensation charges related to the divesting of restricted stock and stock options. We also expect capital expenditures in 2009 of approximately $4 million to $7 million, including investments in facilities to upgrade several field hub sales offices, so network equipment and workstations to upgrade and support the ongoing operations. In conclusion, the entire CoStar management team remains focused and fully committed to achieving our new outlook for 2009. We fully expect to manage the business through this current environment and to capitalize on our stable subscription based business model to position us for long-term growth opportunities and to work toward our long-term goal of $100 million of annualized EBITDA. Once again, we believe our Q4 results demonstrate our commitment to delivering on long-term goals that we set out, just as we have many, many times before as a public company. Economic conditions could worsen, but we believe we are prepared to weather this economic cycle. We also believe our services our core to our clients' ability to deliver on their businesses and that the market need for our services remains resilient, as evidenced by the Cushman & Wakefield agreement signed yesterday. Our business model remains strong and the fact that we have a 95% subscription based business with high renewal rates, we have a unique proprietary database with a market-leading position, the strong balance sheet, no debt and high cash flow. We also believe these challenging times will continue to create opportunities for us as a market leader. We continue to believe there is significant opportunity for additional high margin revenue growth following the investments we have made, and with addition of new services like CoStar Showcase. As we have explained many times, CoStar is not immune to the challenges facing the economy today, but without a doubt 2009 will be a tough year, but we are clear about our priorities and confident in our plans. We continue to look forward to reporting that progress to you. And with that, I open up the, operator call for question.
Operator: (Operator Instructions). The first question will come from John Neff from William Blair. Please go ahead. 
John Neff - William Blair: Hi, guys.
Andy Florance: Hi, John.
John Neff - William Blair: Andy, I just want to make sure I got a couple of things right that you said, I think you referenced to 100% growth in research productivity during, I think 2008. Can you just talk about how you define that?
Andy Florance: Sure. Actually in the two-year period, the listing account grew I believe 240% and researcher headcount grew 13%. So a huge productivity gain over a two-year period, and that was achieve through continuing improvements in software, the integration of the comparable sale research team, the tenant team and the listing team made it much more efficient, call recording systems for better coaching of the researchers. But at some point, there is sort of unprecedented growth in the database requires you to realistically, not continuously count on productivity gains to be able to increase workload. So, still are meeting the quality expectations we want, but we just want to make sure we continue to do that. 
Brian Radecki: We happen to end the year at the low end into that range. And I think again, I encourage everyone to go back to the last two transcripts. I mean I pointed out fairly specifically the numbers in saying that half of that was temporary. I think the goal and focus this year as Andy said is to make sure that we are providing the highest quality research, so we do expect to actually continually push that number up to the high end into that range to provide that quality to our clients. 
John Neff - William Blair: No, I appreciate that. And then, one thing, Andy, I am not sure if I heard you right as well. I think you talked about, were you projecting 1 billion square feet of negative absorption over the next two years? Did I hear that right, number one? And then number two, could you compare that to the magnitude of whatever you did say to prior downturns?
Andy Florance: Sure, okay. That is a number across all types of real estate. All types of commercial real estate. Not just the office sector, but that's right. I mean we are talking about big numbers here. So, if you lose 6 million jobs, that's going to have a significant negative impact on absorption. And by comparison, I think, during the dot-com bust, the worst quarter for office only leasing was, $37 million, negative absorption. So, order of magnitude sort of increased in negative absorption. 
John Neff - William Blair: And then, I was wondering, you mentioned a couple of things. But could you describe the types of specific analytics products you envision delivering in the next, call it 12 to 18 months? And then what has to be done/spent to deliver those products? 
Andy Florance: Good question and I am going to remain somewhat vague for all those competitors listening to the call today. What we are basically doing is, we are redirecting a lot of our systems resources or software developer resources towards continuously releasing incremental upgrades to our product that makes the utility of our products more valuable to people who are trying to value, analyze commercial real estate assets. So it's going to be a whole series of incremental upgrades giving you more indicators on the real estate markets, giving you tie-in from our commercial real estate data to related streams of data. We are also going to be, for instance, the webinar series that we recently hosted, we had several thousand people participate where we did 90 minute sessions by product type reviewing commercials real estate market conditions. I did the office sector one. I would like to bring in people other than myself to do this, and begin to bring in some econ on top, economists to interpret all the information that is in our system for our customers, as well as to add forecasting to our products. So, incremental spend is, I don't really think there is an incremental increase in software development cost associated with this. And we are talking about probably less than half a dozen additional personnel. So there is more a change of focus than it's been on cost of investment.
John Neff - William Blair: Yeah. So this is very incremental to your cost base?
Andy Florance: Right. It will make us much more competitive in that space though.
John Neff - William Blair: The ad sales that you mentioned in January, I think 500,000, was that essentially preferred property listings on the Showcase/CoStar.com platform. Was that part of the $3 million in annualized sales for Showcase or was that categorized differently? 
Andy Florance: No, categorized differently. Jim Black, the person you said, the namesake of Black's Guide, for the last several years has been leading an advertising sales team that sells preferred placement within our professional products, so that the brokerage community, when they do a search for space available in a given area, advertised properties within our professional product will come to the top of the results and get additional exposure to the brokers. So that 0.5 million in sales in January, product that has been out there for several years. That is not Showcase. That is separate and distinct from Showcase but it shows the counter-cyclicality. If you are sitting on 100,000 square feet of class A space you hope to lease for $55 a foot and it's not leasing, you go buy an ad for a couple hundred bucks or a couple thousand dollars.
John Neff - William Blair: You gave the net bookings number for the year I think it's 9.2 million. Just doing the math, it was about 100,000 net in the fourth quarter?
Brian Radecki: Yeah. It was positive in the fourth quarter.
John Neff - William Blair: Okay. And then I can get back in queue, but maybe one more before I do that. In terms of thinking about the guidance, the first quarter guidance to take the midpoint you get about $1.16 annualized in '09 EPS. Your guidance is $1 to $1.05. Just wondering what that is, is that a reflection of the renewal rates over the course of the year continuing to move down to that mid-80s level on a trailing 12-month basis, a function of gross sales, or is it expense, you are clearly expecting things to get worse as the year progresses.
Andy Florance: Yes, I think it is a function of kind of everything that you said. I think obviously I have been saying it for a long time, and I think we are seeing it happen. We do expect the trailing 12-month renewal rate to decline this year to the mid-80s. Obviously I think that's going to put pressure on revenue hence the guidance ranges that we gave basically flat or down slightly. So, again, we don't know how bad that is going to get. We will have to factor all that into our guidance. In addition to the other areas we talked about, I do expect the cost of sales line to increase slightly as we try to basically stay fully staffed. We have a lot lower turnover that we have ever had, part of it is the economy and part of it is the great job that the research group is doing. So we would expect to stay at more full staffing levels, so you will see that number come back up to what I would say is the more normalized rate which is again what I have kind of communicated in the last couple of quarters. I do expect to see increasing bad debt, John. I think it is unrealistic. When I look at, my days of sales are up 19.7 up to 22.3 from Q3 to Q4. Bad debt is up also, so I think it is prudent for me to guide to higher bad debt. There is just more companies going bankrupt. I think we have to factor that in. And then obviously the interest which I explained. The interest is basically almost zero. We have longer-term instruments out there that are still helping push our number up a little bit, but I expect that to decline even with an increasing cash balance this year. So, some of it to me is very mechanical as far as the interest goes. That really has nothing to do with the core operations. But I think, it's pretty prudent guidance. There is a lot of companies that aren't coming out with annual guidance at all, which I don't necessarily agree with. So, I think obviously we are trying to do the best we can in this type of environment.
John Neff - William Blair: Last question and then I will get back in queue. You mentioned the typical annual term for the subscription. Is the fourth quarter, first, can you remind us of the seasonality of the renewals. Is it typically concentrated in the fourth quarter or the first quarter? And what kind of advanced notice are you requiring from customers from a renewal or a cancellation standpoint?
Andy Florance: Sure. It is basically fairly smooth throughout the year. It is slightly higher in the first quarter, and typically they would have to have at least two-month notice.
John Neff - William Blair: Great, thanks so much.
Andy Florance: Alright. Thanks, John
Operator: And our next question is from Jon Maietta from Needham and Company.
Jonathan Maietta - Needham and Company: Thanks very much. Brian, just to piggyback off of John's question there. When thinking about kind of revenue linearity across the year, let's assume the economy stays as is for sake of argument, would it be fair to assume you kind of see a down sequential Q1, Q2, maybe some stabilization in the revenue line in Q3 and, you know, maybe we get an uptick in Q4. Is that kind of a rational way to think of about it?
Brian Radecki: I think it is pretty rational if you actually look at like the guidance essentially, I am guiding down in the first quarter only by, you can look at the range, couple hundred thousand dollars or so. So I think I am expecting, companies are going to go bankrupt are not going to make it until the end of the year. So realistically, if I am projecting I am thinking that the majority that will struggle are going to go out bankruptcy early in the year and obviously we do hope to see some recovery as we get through closer to the end of the year. So I think that’s a good way to look at it.
Jonathan Maietta - Needham and Company: Okay. And then Andy, maybe you can talk about the customer base a little bit and maybe incorporate some of Brian's comments there in your feedback with regard to bankruptcies. With the greatest preponderance of those bankruptcies, do you think kind of be with some of these property owners who have levered up in the past when debt was cheap, as well as some of the smaller brokers maybe closing their doors for business as well?
Andy Florance: Yes, there is a definite pattern to the folks who are going bankrupt. It's not your established. Obviously the established brokerage firms of the mid to upper size are under severe pressure. It's the folks who predominantly deal with buying and selling Commercial real estate at the middle and lower end who are just getting killed and they are going bankrupt or the folks who are originating commercial real estate mortgages, smaller entrepreneurial operations there being decimated. We actually had two cancellations in that area where the customers took their lives, where they were involved in some speculative stuff some investment stuff and got hammered. So, you are seeing some brokerage firms where they have speculative development as part of the firm who are in trouble. We don't have a lot of exposure to the owners who over-levered. That is a smaller part of our business. The very good news here is that our biggest exposure is to brokerage firms that do leasing for living. And while that area is under duress, they are not experiencing anything like what these other sectors are experiencing.
Jonathan Maietta - Needham and Company: Okay. And then any material change in some of the other customer sectors build in the past couple of months whether appraisers, government agencies.
Andy Florance: Well, the government is growing. The appraisers I think should actually do okay, because with values moving all over the place, people are more interested than ever in what the value of a corporation's assets are. So, I think the appraiser will do okay in this situation, and I would hope that our government business grows over the next year or so.
Jonathan Maietta - Needham and Company: Okay. And then Brian, just a couple of items with regard to cash flow, do you happen to have what CapEx and cash from operations was in Q4?
Brian Radecki: Yes, CapEx was pretty low, about 0.5 million. We closed the year a little bit lower than 4 million or something like that. Cash flow from ops is in the 30 million plus or so. I don't have the exact number with me, but when we will be filing our 10K on Friday or Monday at the latest, so we can get all the exact numbers in there.
Jonathan Maietta - Needham and Company: Okay. And that's it for me. Thanks very much.
Andy Florance: Thanks, Jon.
Operator: And the next question is from Jim Wilson from JP Morgan Securities. Please go ahead.
James Wilson - JP Morgan Securities: Hi, good morning, guys.
Andy Florance: Good morning, Jim.
James Wilson - JP Morgan Securities: Let's see, a couple of things, two-three things here. You gave the number of new accounts generated at 514 for Q4.
Andy Florance: Yes.
James Wilson - JP Morgan Securities: Do you have a number for how many you lost?
Andy Florance: We do not.
James Wilson - JP Morgan Securities: More than 514 or less?
Andy Florance: Just like with sales, I think sales was up slightly for the quarter. I don't have the exact number, Jim, but sales were up for the quarter, even net new bookings were still positive and client ads were positive.
James Wilson - JP Morgan Securities: So, you didn't necessarily see yet out of Q4 that loss has exceeded ads. You are just expecting that given obviously the (inaudible) market conditions and what you are seeing or hearing from clients.
Andy Florance: Correct.
James Wilson - JP Morgan Securities: Yes, that kind of make sense. Are you expecting any meaningful change, I am guessing you might spend less at ICSC this year?
Andy Florance: Well, yes.
James Wilson - JP Morgan Securities: Or are you even going?
Andy Florance: ICSC, what? No, we actually, Jim, it's a good question. We are reducing our presence. You will not see a 10 storey Billboard on the hotel across the street from the convention center this year. We are definitely spending less money, but last year we actually sold more in annual subscriptions than we spent at the show. So, the show is profitable on an absolute basis. So we can't walk away from it. We got to participate. We made money there.
Brian Radecki: We are still participating I think we are obviously just trimming back a little bit of some of the expenses but we will still be there.
James Wilson - JP Morgan Securities: Sounds good, alright.
Andy Florance: Sorry to waste your time, but I think we used to give away portions as a draw and then a two-year lease, now we are doing a weekend rental.
James Wilson - JP Morgan Securities: Okay. Then the final thing, just on your cash. I know you are asked this plenty of times. Any thoughts on anything you might do? Is this the point in time you might even look to buy stock back? Or what do you think of acquisitions. Obviously the [re-steel] or there won't be [re-steel] went away but what do you think of anything you can do with cash to drive a higher return?
Andy Florance: We still are very optimistic about the ability to, opportunistically take advantage of some potential acquisitions out there. There are companies that will take a beating that don't have a strong balance sheet in this downturn. That could have real value to the company. We want to keep an eye on that and see what emerges. I think it is still a little early right now. So again, we constantly re-evaluate whether or not to do a share buyback or to do something else with the cash, but given the extreme uncertainty in the market right now, it is likely we are going to sit tight for a little bit.
James Wilson - JP Morgan Securities: Okay.
Andy Florance: But there are some interesting things out there.
James Wilson - JP Morgan Securities: Alright, thanks.
Andy Florance: Thanks, Jim.
Operator: The next question is from Chris Mammone from Deutsche Bank. Please go ahead.
Christopher Mammone - Deutsche Bank : Hi, guys.
Andy Florance: Hi, Chris, how are you doing?
Christopher Mammone - Deutsche Bank : Good. First to be clear about the revenue guidance. The guidance isn't predicated on any sort of back half recovery. Just something you are hopeful to see at this point in time, right.
Andy Florance: I don't think we are terribly optimistic about recovery in 2009. I don't see that happening.
Christopher Mammone - Deutsche Bank : Okay. Sort of a follow-up to that. You made some comments on 2010 and hoping that GDP returns to positive territory. Where you sit today, is there anything that you are seeing that makes you optimistic that could happen or is that just sort of drawing a line in the sand there. Can you maybe flesh that out a little bit your comments on 2010?
Andy Florance: Well, I would defer to the Federal Reserve on the outlook for 2010. So based on our experience with the '90s, I would say it is safe to say that the investing side of commercial real estate, the buying and selling of assets will not recover in 2010. It will not recover in 2011, and probably won't recover until 2012. The leasing marketplace will be the first to recover, and it will recover once employment losses stop. You will have a reasonably quick recovery because you don't have a lot of excess inventory. So, '09 will be negative. And, it is out of my pay grade to forecast the GDP in '10.
Christopher Mammone - Deutsche Bank : Okay. Any sense I guess what are your expectations for what Showcase will continue to the top-line this year?
Andy Florance: Fairly optimistic. We are not prepared to talk about it, but we have some innovative new ways to sell the product, and I think it will be a great year for CoStar Showcase, and I think it will keep the revenues moving in a very-very extraordinary difficult time. And Showcase has been most successful product launch we have ever had as far as that goes and continues to be, and we do expect it to be all of '09. Chris you took the one-time gain out last year so don't put it back in for the year-over-year comparison.
Christopher Mammone - Deutsche Bank : Right. Okay. And I think you mentioned your add a little bit to the sales force in the first half. About how many heads are you guys expecting to add back? 
Andy Florance: I think 10. 10 to 15, somewhere in that, hopefully good ones.
Christopher Mammone - Deutsche Bank : Yes. And then any issues with, I guess, you mentioned you have very low turnover, was that just the research staff or is that sort of sales and research everybody else got out of the year. 
Andy Florance: That's across the board, the research turnover is extremely low and generally turnover is very low as one would expect.
Christopher Mammone - Deutsche Bank : Right. Alright, and then, go ahead.
Brian Radecki: Good news also there are great candidates out there. As we bring in these new sales positions, there is some really good talent out there.
Christopher Mammone - Deutsche Bank : Okay. I guess lastly just on the UK. I know it's relatively small part of the business still, but just looking at the last few quarters, has revenue really plateaued in that market or is it more.
Andy Florance: Absolutely not, Christy. I think my sense of things is that the UK, commercial real estate market went into this downturn a full two quarters ahead of the United States. And so I think the brokerage community over there the surveyors got hit a lot earlier than the US did. And actually I think we are seeing some signs of recovery in our sales in the UK right now. My belief, if you compare our revenues, we have accomplished a lot in the UK that wouldn't show up in revenues in 2008. Like we went from 30,000 listings at the beginning of '07 to 100,000 listings at the end of '08. As I met with our biggest customers in the UK in the fourth-quarter 2008, we have gone from being regarded as a small sort of optional vendor in that market to becoming clearly the best, highest-quality provider of information service to the industry over there and absolute utility. And if you take the, our experience of generating revenue per millions of square feet in a given market, I would expect that market can quadruple and can grow tenfold over the next ten years or so. So, I think that will be a bright spot to the company over the next decade.
Christopher Mammone - Deutsche Bank : Great. That's it for me. Thanks, guys.
Andy Florance: Thanks, Chris
Operator: Your next question is from Vance Edelson from Morgan Stanley. Please go ahead.
Vance Edelson - Morgan Stanley: Hi, thanks a lot. On the number of sales reps, it looks like it dropped from about 170 a year ago to 144 most recently. But you also mentioned that the turnover is very low. I assume that's across the entire business. So, is that reduction mainly a reflection of the cost-cutting efforts and reaction to reduce selling opportunities during the slump, is that what we are seeing there?
Andy Florance: A little bit of that. Given the very large number of markets we have released in the last two years, we are moving a little bit more to slightly more hub and spoke sales system. We are going to be concentrating not trying to put our salespeople into every single MSA out there in the United States, but rather than centralizing them and a couple of dozen. It got dozen or so offices around the country. So a transition going on there. We have a significant number of sales reps in training right now who will be in centralized locations.
Vance Edelson - Morgan Stanley: Okay. Got it. And any plans to hedge the foreign exchange exposure. A lot of people expect the dollar to continue to strengthen which would leave you susceptible to additional unfavorable FX impacts. Any thoughts there?
Andy Florance: Actually we did the work. We have got some money in several different International banks that we spoke to, RBC, HSBC, and I have gotten four or five different report. I have got one report of it going down to 1.1, another report going up to 1.6. I think currently we are at 1.4 something. So, I still think there is a lot of uncertainty going in both directions. So, I think right now we will stay put. But we have hedged in the past. So, obviously we will watch it carefully and if we feel like it is appropriate, it is something that we will consider. 
Vance Edelson - Morgan Stanley: Okay, got it. And a final question from me. You mentioned as an example how CB Richard Ellis has reduced numbers that they have seen the past year. Can you comment on how lower activity levels in general could impact your ability to gather data and keep it up to date? Are there any special considerations there on your operations as we move through this cycle? 
Andy Florance: Yeah, well, actually it will be kind of easier to collect the data. There will be more volume of it. So, people are more motivated now than ever to make sure that they are putting their information into our system, and that is great. We are continuing to see our 'for sale' listings and our lease listings information boom, and our success is part of the reason we have to actually add a few more researchers because they are being very forthcoming and talking us to too much. 
Vance Edelson - Morgan Stanley: 
Andy Florance: Thank you.
Operator: (Operator Instructions). We do have a follow-up from John Neff. Please go ahead.
John Neff - William Blair: Hey, guys.
Andy Florance: John, you always like to open and close these calls, right?
John Neff - William Blair: I try my best.
Andy Florance: Okay.
John Neff - William Blair: Brian, I was wondering if you could just comment on the status of your NOL carry forwards are going to be a full cash taxpayer in 2009, what the status there is? Andy, I was wondering if you could comment on what, if any, inroads you are seeing from Xceligent given the funding of that company from one of your competitors in recent quarters? Thank you.
Brian Radecki: Sure. We have utilized our NOL. You know, after many, many years, we actually utilize all of them in the U.S.; it will be full cash in the U.S. We obviously have a bunch of NOLs in the U.K. that will be able to utilize over the coming years. So, again, it will be kind of that blended rate. It will look a little bit higher than the actual cash taxes that they are paying. Even at 45% will be paying cash taxes at something just South of 40% or less because of the U.K., U.S. differences.
Andy Florance: And, John, to answer your question, I believe that the competitor you are referring to. There are rumors they have launched a service in Winter Harbor, Maine and in Osceola, Iowa, but that it will be up and running shortly. But in markets like, San Diego, California, and I am being somewhat facetious. I think a press release about Little Rock and another market that would not be in the top 100 U.S. MFAs and the majority of the revenue business comes from the bigger cities. We have still seen, for instance, in Denver, we conducted focus groups out there recently. And the word there was that a number of major shops had left the brokerage association there and it stop subscribing to the competing company you are talking about. And then I heard in San Diego a number of major shops and stops subscribing there as well. So, we are actually doing extremely well against that competitor, and I think, as long as they are launching the cities that have less than 200,000 population, it is a complete non factor.
Brian Radecki: And I believe we have more revenue in one of those markets than they have across the entire country, and [indiscernible] the day our business built on 200,000 MSA markets.
Andy Florance: Okay. Great. Anything else, John?
John Neff - William Blair: Nope, that was it. Thank you very much. 
Andy Florance: Thanks, guys. With that we will wind up and thank you for joining us for this fourth quarter year end conference call and we look forward to speaking with you next quarter.
Operator: Thank you. That does conclude our conference for today. Thank you for your participation and for using AT&T teleconference. You may now disconnect.